Christian Kullmann: Thanks a lot, and thanks, everybody, for joining our call today on such short notice. We have quite some news for you this afternoon and expect quite a few questions from you. So having said this, let's get right into it. To start, I would like to highlight 3 points. First, we've achieved our revised outlook for 2025. It was a tough finish in the last quarter, but we made it. Our EBITDA in the fourth quarter was solid enough to reach around EUR 1.9 billion for the full year, and our cash generation was more than just solid. We delivered almost EUR 700 million of free cash flow, resulting in a 37% cash conversion rate, making the upper half of our guidance corridor. This demonstrates once more no matter what the environment, we deliver on cash. Last year was not a great year for sure. But given the environment, I would say we came away with a black eye. So having said so, let's look ahead from there. And second, for 2026, we aim for broadly stable earnings at the midpoint of our guidance range in an environment which remains tough. And with normalizing methionine prices, delivering stable earnings, I guess, is a good thing. Claus will elaborate further on this in a second. And third, the consistent execution of our strategy is in this environment where challenges are everywhere as crucial as never before. To be able to do this, we need more financial flexibility. This is why we present a new dividend policy today, which combines a still attractive dividend for investors with more financial flexibility for us. The support from RAG Foundation on this change demonstrates their commitment to our success. More on this at the end of our prepared remarks. Before, ladies and gentlemen, I let Claus dive into the more operational topics, I would like to make a case for Evonik. Some of you would ask why invest in us? Why invest given all the headwinds for chemicals? It is true that right now, we face structural challenges and weak demand at the same time. This is, of course, not a good combination. But already in these challenging times, we are strong industry-leading cash generator. That is why despite investing and despite paying an attractive dividend, our leverage is moderate. This enables us to act from a position of strength. We, ladies and gentlemen, we do control our own destiny. From this relatively better starting point, we have significant potential to improve in the years to come, and we will realize this potential. We will reduce costs further. Our headcount will be another 1,000 lower at the end of this year or better at the end of last year. We have exciting applications and attractive growth niches such as for our batteries or drones. We still have significant portfolio optimization potential that lies within Oxeno, that lies within SYNEQT and more. And last but not least, as just mentioned, we'll adopt a more balanced capital allocation strategy. This means, in other words, in any kind of environment, we will improve in the years to come, and then we will generate a ROCE of around 11%. I have no doubts about this. By the way, ROCE will become part of our Board compensation with the approval at the upcoming AGM in June. This will help us to stay more disciplined and to align our interest and the interest of our investors. With that, I do hand over to Claus.
Claus Rettig: Yes. Thank you, Christian, and to all the people listening to us online, a very warm welcome from my side as well. Before I go into the financial outlook, let's run through the puts and takes that are behind the numbers. On the side of the headwinds, we expect the demand environment to remain weak. We don't think -- we don't bet on a recovery. I think that's the best thing to do at the current moment in time. So in absence of a major demand recovery, competition, especially from Asia will stay tough. Of course, these are not Evonik-specific headwinds. Evonik specific is, in fact, that after 2 strong years, we now see a normalization in the methionine prices. I think this is well anticipated by the capital market. However, we will be partly offsetting these lower margins by our volumes and after a series of intense maintenance shutdowns last year, we have more capacity and a lower cost base in the U.S. once our backward integration is up and running, and this is the case from the mid of this year. Increasing support will come for us from our self-help measures with Evonik tailor-made and business optimization programs in full swing. On top, we will introduce short-term contingencies again, which we already had in the year 2023 and 2024. Also, we are expecting lower energy costs, mainly from regulation changes in Germany. That brings me to our guidance for the adjusted EBITDA in 2026, which we expect to be between EUR 1.7 billion and EUR 2 billion. The base assumption for our outlook is the aforementioned positives and negatives should largely balance out and leaving us at the midpoint of our guidance range with, you can say, broadly stable earnings versus last year. In Custom Solutions, we expect a year of slight growth, both in terms of volumes and earnings. In Advanced Technologies, we anticipate slightly lower earnings, mainly driven by the normalization of the methionine prices and less support from onetime effects, which we had last year. So interesting question certainly is what are we seeing for quarter 1, 2026. It's very early in the year, of course. And nevertheless, of course, we looked into this very, very intensively before we gave you this guidance range. So far, we see little change in Q1. So Q1 is more or less currently seen by us on the level of Q3 2025, in which we recorded an adjusted EBITDA of around EUR 450 million. So I guess this will be a good proxy for the start into the year, suggesting that our business in total is currently relatively stable. However, if all quarters continue on this level and even accounting for Q4 seasonality, we will be able to meet our outlook. But to reach the midpoint of our guidance, we need a small earnings improvement in the quarters to come. And we believe this is realistic, not because we are betting on any kind of support from the general environment, but because of specific elements in our business. So I'll give you some examples. Second half of Healthcare is always stronger than the first half. And we have seen this last year in a very, very strong Q4 of Healthcare that this is the case. Then we expect a stronger catalyst business in the second half partly because it's, say, normal seasonality, but also mainly because of change in, let's call it, regulations because there's regulation out for the use of biodiesel in Europe as well as in the United States, which has not been put into reality yet, and we expect that this is going to happen certainly in the second half of this year. We have Oxeno business where we believe there will be an improvement compared to Q1. And we have the second half in the year supported, let's say, margin improvement in our methionine business because our backward integration in methyl mercaptan in the U.S. is going online. Last but not least, also, we have a new hydrogen peroxide plant, which we are starting by the mid of this year in China. So just to give you a few examples, I could also even mention some more. So this gives us the confidence for the guidance level we gave to you. This brings me back to Christian.
Christian Kullmann: Thanks a lot, Claus. Ladies and gentlemen, in this tough environment and facing clearly weaker results than we would like to see, the execution of our long-term strategy is more important than ever. We need both growth and cost optimization to be successful in the long run. Realizing growth is obviously more difficult than we thought 1 year ago. We are ramping up new capacities, as Claus has already mentioned, and attractive products and end markets. These are making a contribution, albeit a smaller one for now. We are complementing these with more focus on growth opportunities in attractive end markets. So we have interesting solutions, for example, for drones, for data centers and for consumer electronics. I can hear you. I can hear your skeptical question. These businesses are too small, Kullmann, to make a difference. Yes. They are small today. But this is how innovation or new application always starts in chemicals. For example, think about our Veramaris businesses. So it takes time to build sales and earnings, but that does not mean we should not be doing it because the opportunities we could have and we could benefit from are really attractive. The second pillar for future success, obviously, are our self-helping measures. Renting from Evonik tailor-made to various business optimizations and our procurement optimization, here, we have a lot of things in hand. All of these are pretty well on track, visible in a clear headcount reduction of more than 850 in the last year. And another 1,000 as part of these programs are to be reduced in this year. Unfortunately, the benefits of our cost reduction programs are partly eaten up by fixed cost increases. On average, these are around 4% a year or in other words, around EUR 200 million. In 2025, especially due to strong wage inflation in Germany, the increase was higher than normal. We were able to offset this higher inflation and expect that in 2026, the increase will be definitely lower. We will also bring back short-term contingency measures such as travel restrictions or training and communication spending reductions. Here are really saying we are used to it because we have proved to be successful in the years 2023 and 2024, and it is now urgent need again. In total, this means that more savings will come to the bottom line in 2026 compared to 2025. Before we jump into your questions, let me please close the presentation with the details of our new proposed dividend policy. First of all, in principle, our priorities of cash allocation remain unchanged. We focus on CapEx, we focus on dividend and deleveraging in that order. Note that we will still rule out M&A until 2027. In the past, we had a stable, very high dividend payout. This was favorable for and rewarded by mostly the REG Foundation. However, a rigid dividend is not adequate in this tough market environment and for a company in transformation. So we are switching to a dividend, which is tied to the financial performance of the company. This enables first, the long-term sustainability of our dividend; second, more financial flexibility for us to reach our strategic targets and goals. And third, investors to participate in future growth. And we will roll out the new policy in 2 steps. At the upcoming AGM in early June, we will propose to pay EUR 1 per share for last year. We offer this as a smooth transition from the previously fixed dividend to the performance-oriented dividend. This is still an outstanding dividend yield of around 7% today. From the AGM 2027 onwards, we will propose to pay out 40% to 60% of the adjusted net income. For this year, this would have resulted -- sorry, for last year -- excuse me, for last year, this would have resulted in a dividend between EUR 0.54 and EUR 0.82 per share. The range we provide for the payout ratio allows us to provide a good degree of dividend continuity and reliability in euro terms. That means we aim at a higher payout ratio in years of weaker financial performance and vice versa. So obviously, right now, payout would be rather 60%. At current share price levels, this would imply a yield of still around 6%. And let me stress again, the support from the RAG Foundation on this change demonstrates the commitment to our success. Thanks a lot for your attention, and now we are happy to take your questions.
Operator: The first question comes from the line of Tom Wrigglesworth from Morgan Stanley.
Thomas Wrigglesworth: Two, if I may. Firstly, just on the change in dividend policy. Clearly, your shares were not being rewarded for the high yield. But at the same time, I think investors would look at the challenging conditions and say this is not a market that needs more CapEx. You've talked in the past about share buybacks, probably more so in the last couple of years than you've ever spoken about potentially returning capital through other measures. Is the buyback -- does the cut of the dividend mean that a buyback becomes more attractive given how undervalued your shares are? I'm just trying to square where we sit on that. Then with regards to the strategic review of SYNEQT, can you give us an update there? Have you got a deadline as to when you think you'll come to the conclusion of a strategic review? What are the moving parts in terms of the process? I think we saw an announcement of an appointment of some bankers at the end of last year. So just keen to know what you think the time line is there?
Unknown Executive: Thank you, Tom, for your questions. The first one on the capital allocation and buyback, I give to Claus. And the second one on SYNEQT, 2 questions, please.
Claus Rettig: Yes. Okay. Yes. Thank you for the question. Dividend policy, I think Christian explained what are we looking for? We need more financial flexibility for, let's say, for our future. And of course, here, and Christian said it, we have to look for CapEx. Of course, we have projects, fast return projects, which are attractive. So these remain on the list. And as much as you are right, with the current utilization of plants, there is not much need for a huge investment at the moment, but there are smaller ones that really promise fast returns. So this is number one. The dividend, of course, is and will remain an important factor. We want to offer an attractive dividend yield. We are very high right now, but I think our share price is also too low and has to rise. And lastly -- or not lastly, then we will actually look for deleveraging. We are very stably financed. We have a very good financial -- solid financial foundation. And -- but here, we still want to reduce our debt. And of course, we also don't rule out buyback of shares. So that will depend very much on how strong the cash flow is going to be. But of course, it remains an option.
Christian Kullmann: Tom, I'll take the second question. First of all, I really take pride in saying that we have successfully with high speed, carved out this business over the course of the last year. And now it is an independent company. What is next? Next is that -- that means we will tackle different options. Option one is joint venture or maybe specific cooperations. And of course, that goes without saying straight sales, straight divestment. That is what we will discuss over the course of the next weeks internally in the Executive Board, and then we will come along. That is where we are as of today.
Operator: The next question comes from the line of David Symonds from BNP Paribas.
David Symonds: I think I'm going to go to 2 as well, please. The first one is you mentioned an Oxeno improvement from Q1 onwards. And I've been noticing C4 prices rising recently. Is this the reason for the improvement that you expect there? Or is that just passing through higher energy costs that we've seen in the first part of this year? And then just maybe coming back on capital allocation. Am I right in thinking that buybacks are the lowest priority use of capital for you? Because it sort of comes bottom of the list, but at the current share price and given weekend market volumes, I would have thought deleveraging and new CapEx would be lower on the list than buybacks at this point.
Unknown Executive: Yes. Thanks, David. Christian starts with Oxeno and what we see there. And then capital allocation, I give Claus again and comment on the priority list that we.
Christian Kullmann: David, I guess it is fair to assume that the last year, our Oxeno business, let me say, has met the trough point. And for this year, having said so, we -- let me say, we see the chances for a slight recovery. How comes? First, there are first positive signs in respect of permissions given for -- in the area of construction. That is really helpful. It may be over the course of the year that the stimulus program of the government in Berlin could pay off in this direction. As you know, construction is one of the key areas where they want to see and where they want to, let me say, increase additional growth. So here might be a good chance. Second, and that is what we should not underestimate is the announcement of the commission in Brussels that they will overhaul the CO2 trading system because that means in future terms that we would, in respect of our Oxeno business benefit from this and that would even lift up the chances for the sales process to get a better price, referring to the announced changes of the commission in Brussels. So for 2026, however, there is a chance for a bettering for an uplift because of the construction and maybe for the construction impulse given by the government, which could pay off over the course of the second half of this year. And we do see and hope for some ups in the automotive businesses. So this altogether gives us some, let me say, -- it is a mixture of, let me say, underpinned confidence and good hope that it would turn into the better for Oxeno in this year than it has been last year. And please keep in mind that if -- and we do welcome and appreciate the announced changes of the CO2 emission trading system very much, this would additionally better the chances for our Oxano business getting a more attractive price than maybe before. With this, I hand over to Claus.
Claus Rettig: Okay. Thank you, Christian. Maybe a few additions to this. Oxano, when you look into -- we don't expect -- we are not calculating a huge improvement, just to make it clear in terms of quantitative level, but a significant one. And Christian pointed it out very much. And there's also -- when you look into -- we had a major shutdown in 2025, which cost us quite a lot of money. This is not going to happen in 2026. So these maintenance costs are not there in 2026. We see currently also a little shortage in butadiene in Asia. So we will certainly benefit from this. If the freight route through the Suez Channel goes up again, we will save freight cost as well. All of this together, we put into this kind of assumption. And so I think it's not a hope. I think it's a clear fact-driven expectation. And coming back to your question with the priorities, I can only repeat what I said before. I think CapEx is number one. Like I said, we have topics which we get fast returns. And I mean fast means 1 to 2 years. We want to remain an attractive dividend company. And so this is, of course, also very important to us. And deleveraging is also clearly right now, when we look to our net financial leverage, it's only at 1.6, yes. If I take our pension obligations into account as well, then it's 2.4, still very much, let's say, maybe a little bit below average of the market. But I think we believe in the times ahead of us, it's very important to have a very, very sound balance sheet. And so this remains number three. And then again, I can only repeat if we really have a lot of free cash available, then, of course, share buyback remains an option. And so this is maybe just to clarify again, this would be the list priority list for what we do with our earnings.
Operator: The next question comes from the line of Chetan Udeshi from JPMorgan.
Chetan Udeshi: I had 2. First, can you remind us -- you mentioned this maintenance shutdown in C4 having an impact in 2025, but you then also had a lot of bonus accrual release through the year. So just remind us what were the key headwinds and tailwinds outside of the business conditions in your businesses that we should have in mind as we think about the bridge for 2026? And the second question, maybe for you, Christian. I mean, from your perspective, what do we need to actually see for this sector to really come out of this malaise because we've seen the industrial production globally improve last year PMIs in most regions, at least outside Europe, have been at 50 or above 50. But when we look at the numbers of Evonik, but also most of your competitors, they still look very, very tough. And I guess the question for a lot of us is what can change that? I mean from your assessment, what do you think we need for this sector to become, let's say, more interesting again for investors?
Unknown Executive: Chetan, thank you very much for these. The first one on the special effects, bonds provisions and so on, goes to Claus. And then on the broader sector outlook and what we need for the improvement that's Christian done.
Claus Rettig: Okay. Good. Then yes, going -- when you look back to 2025, of course, the major impact on bad results, don't get me wrong, that's why I said the improvement will be not a super huge one was, of course, volume and price. Price is down. But we also had -- we had only, I think, every 5 years or so a shutdown to do where we take all the entire chain out and have the maintenance. I think here, it was then, let's say, a lower double-digit million cost for us, which contributed to the result level of Evonik Oxeno. And of course, the bonus provisions, last year, we had good performance bonus. So we had high payouts. We -- and this is not the case this year. Of course, you are right. And from that point of view, this will also have a release. But of course, we also have -- also in Oxeno, we have our cost-cutting programs. This will contribute as well. We reduce still spendings in the unit. So that's all this together. But when you look to the biggest single portion, you are absolutely right, is the maintenance shutdown, middle double-digit million area plus less bonus payments in 2026.
Christian Kullmann: Okay. Chetan, I try to answer your second question. And let's be -- maybe let's start in being very concrete on this. As of today, of course, the chemicals industry looks a little bit lackluster for the markets. But if you look behind the curtain, we could occur sexy. And why is it that I come to this kind of conclusion. Yesterday, the German newspaper has penciled and published that there is a good chance for the energy-intensive industries all over Europe to get a relief from the -- from an easing of the emission trading system. And out of a sudden, our share prices have remarkably risen up, which means, in other words, for me, that the investors do have realized that if we would -- that the pain from regulation, that the pain from the Evonik trading -- emission trading system would be eased. Hence to this, we could create a level playing field with our competitors abroad, it could really become a game changer and help us to become for capital markets more attractive. So first issue that we have to tackle is less regulation and create for Brussels and create a level playing field that we could be able to bring our performance straight -- straight on the street. Let's keep it like this. Second, I guess we have to differentiate between the company. As of today, there are companies maybe having reserves, in other words, having additional potentials, maybe by cost cutting, maybe by divestments, maybe by being in attractive growth niches, maybe by the geopolitical footprint and those who do not have. I'm convinced that Evonik belongs to the first group. So that is on top, a chance. In Germany, we should maybe give the acceleration of growth, the stimulus program of our government in Berlin, we should give it a chance. And it could start to pay off from the second half of this year onwards. And of course, maybe last comment about the politics of our days. If we could see an easing of geopolitical tensions, if we could see less tariffs between United States and China, then, of course, that would be helpful in an additional way. So that are my ideas about what is need. And I do really bank on the announcement of Brussels in respect of the emission trading system that could really become a game changer for us. And as I know the governments in France, in Belgium, in the Netherlands, in Poland, in Slovakia and in Germany, too, are elaborating here, let me say, new ideas of how to support the supply and value chains all over Europe that our economy could, in future, prosper in a better way.
Operator: The next question comes from the line of Martin Roediger from Kepler Cheuvreux.
Martin Roediger: Questions. Question number one is I have to come back to this CO2 topic with the EU Commission eventually softening this CO2 scheme, including the postponing of the deadline for the free CO2 allowances and also the auction time. Based on your talks with these guys, do you have the impression that the shift in the time line will be 1 to 2 years or 5 to 6 years or up to 10 years? Secondly, on cost savings, you expected incremental cost savings in the magnitude of a high double-digit euro million figure in 2025. Did you achieve that? And going forward, what are the incremental cost savings you expect for 2026? My guess would be EUR 100 million. Is that correct? And then thirdly, on energy costs. I recall that you intended to reduce energy costs from EUR 950 million in 2024 to EUR 900 million in 2025. Did that work out? And what is your best guess for energy costs in 2026, including your hedges?
Unknown Executive: Yes. Thank you, Martin. The CO2 certificate question will go to Christian. And then on to Claus for the savings and the energy costs.
Christian Kullmann: Martin, let's keep it like this. I'll give me a chance to split my answer up referring to your question. First, maybe as a sprinter, which would help us, where we would benefit from here, in particular, in Germany is about the new industrial electricity price system and the compensation of it. That is what would work for the next 3 years. Decisions in Berlin are already taken. And now they wait for the approval from the commission in Brussels. And here, I'm confident that it will come soon. So not in due course instead of soon. That would -- let me support our energy cost calculation over the run for the next up to 3 years. And then it is about the emission trading system. The emission trading system, there's desperate need to overhaul it in a radical way. As mentioned before, talks are ongoing, and that is what would pay off in the long run, which means if we take investment decisions for new technologies, ETC here in Europe, and we would be eased or the relief would be there in respect of the level of the CO2 fees we have to pay that would be somewhat like a game changer could come. Is it now possible for me to judge upon it about the, let me say, duration when it is going to happen. No. Here, we have to wait until July when the commission will provide us with a precise, let me say, proposal what they have in mind. And in the meanwhile, there will be a lot of negotiation and talks about how we could become -- or let me say, how we could bring this beef that it would be digestible in the future for each and everybody to the table.
Claus Rettig: The next part of the question. Yes. So first, the cost question. So when we look into 2025, we can say our programs went very well. So we achieved more than a reduction of 850 headcount in 2025. That means these costs are really gone. Of course, they went over the course of the year. So it's not a full year impact. And we also heard Christian saying that we have the plan to have 1,000 more in 2026. Here, the same will apply over the course of the year. When I look into the numbers of 2025, I can tell you we reached almost the level we wanted to reach in terms of cost savings. However, and now it comes to, however, we also had a lot of cost increases that are more or less compensated the cost savings. So of course, we had huge increases in wages in last year. Germany alone, just to give you a benchmark here, was 7% wage increase in 2025. And we had also across the world, significant increases in wage because of inflation compensation. I don't have to explain it to you. You know it yourself very well. So this actually resulted that we kept our fixed costs more or less stable. This was 2025. 2026 will be totally different. We will have -- again, with our cost-saving measures, we have the program. We know that we will deliver. And I'm certainly not expecting that kind of increase in factor cost increase, fixed cost inflation in 2026. So that means at the year-end, certainly, alone from this portion, we will see quite a significant reduction in fixed cost. And so that is certainly happening in 2025. I don't think that we will see much more than 1% increase in fixed cost. That is at least the target of the CFO or interim CFO, if you want to say. But in 2026, you can take my words, you will see a significant increase in fixed costs, which we unfortunately for the reasons I have given could not achieve in 2025. 2026, I think -- yes, over and above, you heard Christian, we have also contingency measures. However, they will, like the word says, is not a permanent one. The headcount reduction, of course, is a permanent. And over and above, we have the temporary ones, which will support the results in 2026. Coming to your question about energy costs, Yes. In 2025, you are right, we saw quite a decline in energy costs, double-digit million decline in our energy costs, and we reached a level now below EUR 900 million in our total energy bill. Unfortunately, we will not see much more decrease in 2026. Here, it's a different story to what I just said on the fixed cost side. So we saw also pricing in the spot markets for energy, gas going up, strong winter in the U.S. contributed to this. Of course, it will not stay on forever. Nevertheless, in a nutshell, I have to say we believe in 2026, we will see a low double-digit million decrease in energy cost, but not more.
Operator: The last question for today is from Christian Bell from UBS.
Christian Bell: I've got 3. The first one is, if you are expecting significantly lower fixed costs, as you just explained in the previous questions, in 2026 alongside flat to slightly higher sales. Could you just help us understand why that does not translate into earnings growth for 2026?
Unknown Executive: That's it?
Christian Bell: Sorry, I was waiting for the answer. I can ask my second and third question as well. The second one would be the preannouncement today, together with the level of detail provided a month before the result is not something we typically see from Evonik. So I was just curious as to why you decided to preannounce today. And then finally, as a result of the new dividend policy and the current outlook, on our rough calculations, that suggests dividends to RAG could be around EUR 100 million lower. To the extent you can comment, do you know how RAG plans to address that potential shortfall? Or are they comfortable with a lower level of income? Sorry, that's the end of m questions.
Christian Kullmann: Never mind, never mind. Maybe I take the one about the ad hoc communication style. I'm close to fall in love with my Chief Counselor, and he has given me strong advice to give this ad hoc communication. And that is what -- for me, it was a must to obey. So that is the reason why we have decided to have this ad hoc communication. In respect of RAG Foundation, first, it is to underpin that they do support the strategy of the company and that they do have totally agreed upon the suggestion saying, here we need a new Evonik strategy, dividend strategy because that is helping us in respect of future growth. And so here, they are totally supportive. That is what I could say. So comfortable and convenient for them, yes. And the first question about lower fixed costs, I have to now to hand over to Claus.
Claus Rettig: Yes. Thank you, Christian. Maybe one addition. If you calculate the numbers, EUR 1 is actually resulting in EUR 466 million of dividend payment compared to the [ EUR 117 ] million we paid so far is EUR 545 million. So it's roughly, let's say, EUR 120 million below. And then you can see what the share of RAG and you get a feeling for what it means. Coming down to the other question, let's say, fixed costs not translating into earnings growth. Yes, this is a good question. And the major or the biggest point towards this one is the development in our methionine business. So here, we have I think that is also capital markets know well about it. You make your own assumptions. But we see the new capacities coming in. We have the new NHU capacity coming in, in Q4. We will have another new capacity from [ Leben ] coming in most likely Q2. And so we anticipate and we see it already from the decrease in price level. U.S., super stable, protected territory by tariffs. Europe, slight decrease so far, strong decrease in China and also moderate, let's say, in Asia. All of this together, unfortunately, has an impact, and it will consume, let's say, quite a bit of the fixed cost savings. That's why we put our guidance into see more or less stable kind of results in 2026 compared to 2025. That's the biggest single reason.
Christian Bell: Sorry, I'm just still not fully able to understand. The impression I got from your previous answer -- on the previous questions was that we would see a net decline in fixed costs. But are you actually saying that we're going to see a net increase?
Claus Rettig: No, no, sorry. I was talking about our methionine business, amino acid, as you -- and here, we have the situation that we are more capacity buildup in -- at the end of last year, and this is reducing the market price. And this is quite a significant counter effect to -- not on the fixed cost side, it's actually more or less on the contribution margin side. So -- and therefore, you don't see the full impact of the earnings -- on the fixed cost reduction, sorry. Fixed cost reduction on Evonik is compensated to some degree by decline in methionine business.
Christian Bell: So I still don't fully understand at the group level, you're guiding to higher sales, but then you're also saying your fixed costs are going down, but you're still expecting flat to slightly lower earnings growth. So I still don't quite understand.
Unknown Executive: Maybe we take this after the call, and we will call you later and clarify this.
Christian Kullmann: Christoph, what a beautiful bridge you've built for me because that is now bringing us to the end of the first call of this young earnings session for our sector. All the best to you, and I hope we're meeting soon in person on the road. And that is the end for our call today. Thanks for your attention. Take care, and goodbye.